Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Cipher Pharmaceuticals Quarterly Conference Call for the company's Q3 2025 results. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, November 7, 2025. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of the Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that could cause results to vary, please refer to the risks identified in the company's annual information form and other filings with Canadian regulatory authorities. Except as required by Canadian securities laws, the company does not undertake to update any forward-looking statements. Such statements speak only as of the date made. I would now like to turn the call over to Mr. Craig Mull, Interim Chief Executive Officer of the company. Please go ahead, Mr. Mull.
Craig Mull: Good morning, everyone, and thank you for joining us today. Before I begin, I would like to remind everyone that all figures discussed on today's call are expressed in U.S. dollars, unless otherwise specified. Cipher demonstrating meaningful growth during the third quarter of 2025, which was largely attributed to the addition and performance of our U.S.-based Natroba business. Sales from Natroba and its authorized generic Spinosad were $8.1 million during the third quarter of 2025, a 4% sequential increase over the last quarter's revenues of $7.8 million, consistent with the product seasonality, whereby head lice and scabies infections are generally more prevalent in the warmer months of the year. Additionally, the Natroba business continues to have strong profitability with gross profit of $7 million and a gross margin percentage of 86% during the third quarter of 2025. Adjusted EBITDA from the Natroba business was a strong result of $5 million, which contributed to our total combined business adjusted EBITDA of $7.3 million during the third quarter of 2025. Consistent with our past track record, our earnings translate directly to free cash flow, which has allowed us to continue to deleverage the business. During the third quarter and after the quarter-end, we repaid a total of $17 million on our revolving credit facility, which has now been reduced to a balance of $8 million at the present time. This is an incredible feat given that we drew $40 million on the revolving facility to acquire the Natroba business just at the end of July 2024. Our CFO, Ryan Mailling, will provide a detailed overview of our financial results following my commentary. I would like to spend the balance of my remaining remarks to discuss our business development activities, which we are very active in and where I am focusing the majority of my time. We have 4 distinct strategies ongoing at the moment to drive shareholder value and grow our business. Firstly, it is critical we continue to invest and build upon the Natroba business and the U.S. operations to position it to further grow heading into 2023. To supplement our existing sales approach, we will be launching a direct-to-consumer sales model early in 2023, which is a strategy many pharmaceutical manufacturers are taking as a direct and modern sales approach to the U.S. market. We believe Natroba is right suited for a direct-to-consumer sales model, whereby permethrin and related OTC products are no longer an effective solution to the needs of individual consumers and families suffering from head lice and scabies. They simply need a better solution and an ability to get it fast when it is needed. Our platform will streamline the process to obtain a prescription, efficiently adjudicate a claim and provide a convenient local pickup or delivery option to consumers. The strategy also includes partnerships with retailers to ensure that Natroba and Spinosad is adequately stocked in states and city centers across the U.S., so it is available through this platform. We are excited about our new DTC strategy, and we'll provide more details on the rollout in the coming months. A second area of our business development strategy is we are actively pursuing complementary products, which can be directly commercialized through our existing U.S. sales force. We are currently active in discussions with various parties, and we'll continue to provide updates. However, as with all business development opportunities, the activities take time and the opportunities may or may not come to realization. A third strategy we are pursuing is launching Natroba in Canada, and we are on track to submit our new drug submission to Health Canada during the fourth quarter of 2025. We believe Natroba will fill an unmet need in Canada for a highly effective treatment for head lice and scabies, and we will continue to provide updates as developments occur with Health Canada's review and the submission process. The fourth strategy I would like to discuss with you is we are actively pursuing out-licensing opportunities for Natroba globally. We continue to believe there is an unmet need for a highly effective product like Natroba to address head lice and scabies indications in other territories globally. However, we believe it is important to find the right fit with our out-licensing partner for Natroba. Product pricing in territories outside of the U.S. is an important element we must consider when finding the right fit for the out-licensing. With that being said, we are in discussions with various organizations at the present time and hope to provide exciting updates as developments occur in this area. Thank you for joining us here today, and I look forward to answering any of your questions after our prepared remarks. I will now pass the call over to our CFO, Ryan Mailling. Please go ahead, Ryan.
Ryan Mailling: Thanks, Craig, and good morning, everyone. As Craig mentioned at the beginning of today's call, all amounts provided are expressed in U.S. dollars, unless otherwise noted. Today, Cipher Pharmaceuticals is reporting results from the company's third quarter and 9-month period ended September 30, 2025. Total net revenue for the 3- and 9-month period ended September 30, 2025, was $12.8 million and $38.2 million, respectively. Net revenue for the third quarter of 2025 increased by $2.4 million or 24% compared to the same quarter in the prior year. Net revenue for the 9-month period ended September 30, 2025, increased by $16.7 million or 78% over the same period in 2024. Increases were attributable to the addition of the U.S.-based Natroba business on July 29, 2024, for which only 2 months of revenue were included in our prior year results for both the 3- and 9-month periods ended September 30, 2024. Product revenue from the U.S.-based Natroba business comprised of the brand Natroba and authorized generic Spinosad was $8.1 million and $22.5 million, respectively, for the 3- and 9-month periods ended September 30, 2025. Product revenue from the U.S.-based Natroba business for the 3 and 9 months ended September 30, 2024, was $5.5 million. Product revenue from the Canadian product portfolio for the third quarter and 9 months ended September 30, 2025, was $4 million and $12.7 million, respectively. Canadian product portfolio revenue of $4 million increased by $0.2 million or 5% for the third quarter of 2025 compared to the $3.8 million in the third quarter of 2024. For the 9 months ended September 30, 2025, product revenue from the Canadian product portfolio of $12.7 million represented an increase of $1.9 million or 18% compared to $10.8 million in the same period of the prior year. Additionally, as the sales for our Canadian product portfolio are denominated in Canadian dollars, when translated on a constant currency basis, Canadian product portfolio revenue for the 9 months ended September 30, 2025, was impacted by changes in the U.S. dollar relative to the Canadian dollar. The impact was nominal for the third quarter. However, when translated on a constant currency basis for the 9 months ended September 30, 2025, Canadian product portfolio revenue increased by $2.2 million, representing an increase of 21% over the 9 months ended September 30, 2024. The products comprising our Canadian product portfolio benefited from a combination of increased sales volumes and favorable changes in product mix for certain products for the 3 and 9 months ended September 30, 2025, compared to the same periods in the prior year, which contributed to the overall increase in revenue. Moving on to our U.S. licensing revenue. Total licensing revenue for the 3 and 9 months ended September 30, 2025, was $0.8 million and $3 million, respectively. Licensing revenue decreased by $0.3 million and $2.3 million, respectively, for the third quarter and 9 months ended September 30, 2025, compared to the same periods in the prior year. The overall licensing revenue of $0.8 million for the third quarter of 2025 represented a 28% decrease compared to $1.1 million in the same quarter of the prior year. The decrease is due to the Absorica portfolio in the U.S., which contributed $0.4 million of licensing revenue in the third quarter of 2024, a decrease of $0.2 million when compared to the $0.6 million of revenue for the same quarter in the prior year. The decline in the Absorica portfolio licensing revenue resulted from lower royalty revenue contributed to by reduced sales volumes and net sales realized by our distribution partner on which Cipher earns a net sales royalty. This was combined with Cipher no longer earning a royalty on Absorica LD in the U.S. market effective January 1, 2025. We also earned revenue from supplying product to our distribution partner, however, revenue from this remained consistent year-over-year in the third quarter. Overall licensing revenue for the 9 months ended September 30, 2025, was $3 million compared to $5.3 million for the same period in the prior year, representing a 44% decrease. The decrease for the 9 months ended September 30, 2025, was contributed to by the Absorica portfolio and Lipofen, including its authorized generic. Licensing revenue from Absorica was $1.7 million for the 9 months ended September 30, 2025, a decrease of $2 million or 54% when compared to the same period in 2024. Revenue from Absorica for the 9-month period was impacted by year-over-year declines in product shipments on which we earn revenue from supplying product to our distribution partner. The decline in the Absorica portfolio licensing revenue for the 9 months ended September 30, 2025, was also impacted by lower royalty revenue contributed to by lower sales volumes and net sales realized by our distribution partner on which Cipher earns a net sales royalty. This was further contributed to by lower contractual royalty rates year-over-year. Market share for Absorica in the authorized generic of Absorica was 2.9% at September 30, 2025, according to Symphony Health market data, representing a decrease of 2.7% compared to 5.6% at September 30, 2024. The products continue to face increasing generic competition and related market dynamics within the U.S. market. Licensing revenue from Lipofen and the authorized generic of Lipofen was $1.1 million for the 9 months ended September 30, 2025, representing a decrease of $0.4 million compared to the same period in the prior year, attributable to lower sales volumes and net sales realized by our distribution partner on these products, on which Cipher earns a net sales royalty. Selling, general and administrative expenses for the 3 and 9 months ended September 30, 2025, were $3.7 million and $12.8 million, respectively. Selling, general and administrative expenses for the third quarter of 2025 of $3.7 million represented a decrease of $2.5 million or 40% compared to the same quarter in the prior year. The decrease was primarily attributable to the nonrecurring acquisition-related costs of $1.6 million in connection with the acquisition of the U.S.-based Natroba business, combined with $0.7 million in legal costs with respect to an arbitration process, which were incurred during the third quarter of 2024. However, these costs were not recurring in the third quarter of 2025. Selling, general and administrative expenses for the 9 months ended September 30, 2025, of $12.8 million increased by $3.5 million compared to the same period in the prior year. This increase is attributable to a full 9 months of selling, general and administrative expenses for the acquired U.S.-based Natroba business in 2025 to date compared to only 2 months of selling, general and administrative expenses for this business post-acquisition in the same period in prior year. Additionally, legal costs associated with the arbitration process were $0.5 million higher for the 9 months ended September 30, 2025, compared to the same period in the prior year. These increases in selling, general and administrative expenses were partially offset by $1.9 million of nonrecurring acquisition-related costs in connection with the acquisition of the U.S.-based Natroba business, which were incurred during the 9 months ended September 30, 2024. However, these costs did not reoccur in the same period in the current year. Net income for the 3 months ended September 30, 2025, was $5.5 million or $0.21 per diluted common share compared to $0.3 million or $0.01 per diluted common share for the same period in prior year. Prior year net income for the 3 months ended September 30, 2024, was adversely impacted by $1.6 million of nonrecurring acquisition-related costs in connection with the Natroba acquisition and $0.7 million of legal costs with respect to the arbitration. Net income for the 9 months ended September 30, 2025, was $14 million or $0.54 per diluted common share compared to $8.2 million or $0.33 per diluted common share for the same period in prior year. Net income for the 9 months ended September 30, 2025, benefited from the inclusion of the U.S.-based Natroba business for the full 9 months of the period compared to the inclusion of this business for only 2 months post-acquisition during the same 9-month period in the prior year. However, net income for the 9-month period ended September 30, 2025, was also adversely impacted by $0.8 million of noncash fair value adjustments associated with the inventory acquired in the Natroba acquisition, which were recognized in cost of products sold during the period. $5.8 million increase in net income year-over-year was further contributed to by the $1.9 million of nonrecurring acquisition-related costs incurred in connection with the Natroba acquisition during the 9 months ended September 30, 2024, which did not recur during the same period in the current year. Adjusted EBITDA for the 3- and 9-month period ended September 30, 2025, was $7.3 million and $21.1 million, respectively, compared to $4.1 million and $10.7 million, respectively, for the same period ended September 30, 2024. This represents an increase of 79% and 97%, respectively, for the third quarter and 9 months ended September 30, 2025, when compared to the same periods in the prior year. The increase in adjusted EBITDA was mainly driven by the addition of the U.S.-based Natroba business for the full period in 2025, partially offset by declines experienced in U.S. licensing revenue. Company had $8.4 million in cash and $13 million in debt outstanding as of the end of the third quarter of 2025. Cipher continues to generate meaningful free cash flow from operations with $10.8 million in operating cash flow during the third quarter of 2025 and $21 million generated from operations for the 9 months ended September 30, 2025. During the third quarter of 2025, Cipher allocated $12 million of its accumulated cash to make repayments on its revolving credit facility and utilized an additional $1.6 million of accumulated cash for repurchases of common shares under its normal course issuer bid. Subsequent to the third quarter of 2025, on October 31, 2025, Cipher further allocated a portion of its cash that had accumulated from free cash flows to make an additional repayment of $5 million on the outstanding balance of its revolving credit facility. Accordingly, after making this payment, the company now has a reduced debt balance of $8 million outstanding on its revolving credit facility and having completed $32 million in total debt repayments during the fiscal year-to-date, we have made substantial progress towards becoming net debt free. Due to the revolving nature of Cipher's credit facility, after making these repayments, we continue to have $82 million of potential financing available to us, comprising $57 million of remaining availability on our revolving credit facility, plus an additional $25 million accordion option. Cipher's continued strong cash flows from operations continued with access to capital, put Cipher on excellent footing to execute on our business strategy, pursuing growth opportunities. which Craig highlighted during his remarks. We'll now open the call for questions.
Operator: [Operator Instructions] Your first question comes from Andre Uddin of Research Capital.
Andre Uddin: Besides looking at your sales force and DTC advertising, can you maybe discuss if there's an opportunity for any potential contracts with the military for state prisons for Natroba?
Craig Mull: Very good question. Right now, we do have a kind of a strategy pillar where we're working through government contracting, as you just said. An example of a recent activity, which is just some initial discussions as I participated just the other week in a discussion with the VA and to expand the product through VA and get access there. So, that was kind of our first step into that, and then we wanted to then move into other government agencies. So, there's some traction there. But obviously, we don't highlight it because it's at an early stage, but we're certainly moving on it.
Ryan Mailling: And Andre, just to add to that, there are other groups of similar interest to us, including nursing home and retirement associations, school nursing associations. The military, obviously, is an area that we think that there's a great demand for this type of product. So, we're starting to reshape our sales force more to go after these, what we call them pillars of business where we are focused on associations and groups where we can get our message out much more efficiently and much more cost efficiently as well.
Andre Uddin: And just maybe you could also just going along the same lines, can you discuss how the preferred drug listings for Medicaid is proceeding in some of the other states? I know you have Illinois, but still moving forward for Natroba?
Craig Mull: It is. So, some of this is -- some of it is kind of ongoing. So, I'm not able to call it greatly disclose the status of those. But what I can say is at the present time, there are a number of states of similar size to Illinois that are in the -- have our bid, which is submitted to do exactly what you said, which is remove permethrin 5% from the preferred listing and to favor Natroba or Spinosad as preferred. So, there are a number of states right now with bids in their hands that they're considering. And how that works on an ongoing basis is the bids come up for renewal annually. In the most part, some of them go by a different tempo. But as we do that, some of the things are, one, we're adding both Natroba and Spinosad onto state formularies, which just ensures product gets dispensed as well as provide them an option and a financially beneficial option to have our product as preferred. So, states are states like that option, and we hope to have some announcements coming forward as states decide on those bids.
Andre Uddin: And I like how you're paying down your debt. I was just wondering if you could just elaborate a little bit more in terms of in-licensing for your business development pipeline, like what does that look like and where prices are? And that's sort of my last question.
Craig Mull: On the in-licensing or acquisition side, there are lots of opportunities out there. We're really focused on those opportunities that fit best with our current U.S. operations. And we're in discussions with a number of different opportunities or targets at the moment. Again, as we go through due diligence and the process, obviously, some fall off the table, but we're encouraged recently by some discussions and meetings that we have with what we consider to be products that fit well with our structure in the U.S.
Operator: Your next question comes from Max Czmielewski of Stifel.
Unknown Analyst: I'm on here for Justin today. But it's exciting to hear you are joining the farm to table trends. And I guess on that, if you could give a little bit more detail on how you think about balancing pricing. I know it's not an expensive product at baseline. So balancing pricing with volume expectations from the DTC approach and how you're thinking about marrying that with your digital marketing plans.
Bryan Jacobs: Max, it's Bryan Jacobs here. So, kind of your first question is on pricing. What we've always found is it's difficult when you have a far superior and when I say superior, efficacious product versus the alternatives to really want to compete on price. And if I take our business aside is I think that that's a losing strategy for anyone. If we have the best product, you're going to command a bit of a premium price. But compete -- on the flip side of that is our product is heavily covered on Medicaid and through other -- and on commercial plans. So, really what it is, is it's an educational item to a family because if you think about it, an alternative is you're frantic like you may have something like head lice or scabies. But for head lice, you go to a pharmacy and you try and grab something off the shelf and you may use it and you run out of it, you may need multiple boxes of that, and it doesn't work. So, you're battling with head lice for many weeks. So, the cost of that and the cost of the time of that is kind of a problem for families. Whereas our product, once you pay your co-pay on insurance and get a prescription, you wouldn't be worse off, and you would use the product once and it kills all lice and eggs and your kid goes back to school the next day completely lice-free. So, part of it is ensuring that when people search for the product that works, bringing them into our platform and saying, okay, wow, this is what I want and then being able to get the product in their hands. And that's why we're working through ensuring that the product is available at different retail outlets and giving them a delivery option, so it can show up at their door. We think that's going to be a very compelling business model. And like you said, that's the stable type approach that we're working towards. And this is a supplement to our existing plan. So, we're going to launch this, and we believe it's going to be kind of the next phase of growth for the Natroba franchise and then kind of scale around it from there.
Unknown Analyst: And I guess my second question is based around one of your pillars of growth and how you're thinking about your overall strategy and out-licensing Natroba in global markets. Where do you think you see the most opportunity? Is it on -- to say this with diplomacy, more of the emerging market side or developed markets? Are there areas in which permethrin doesn't have the same issue of resistance that wouldn't make sense for a marketplace? Can you just give some color on that?
Craig Mull: Sure. Craig here, Max. First of all, let me kind of see if I can address your questions in reverse order. The issue with the resistance of permethrin 5% and 1% is a global issue. And most jurisdictions, if not all, have this resistance problem for permethrin. So, our product is going to shine against other products in other jurisdictions as well. The issue that we're finding is that in a lot of these underdeveloped countries or less developed countries, the pricing isn't where it should be for our product. And so, we're working with different outfits in perhaps less populated countries or less affluent countries. to try to find the best kind of cost/pricing structure. Europe is a good market for this product, particularly the Southern European countries, Spain, for example. And they have reasonably high reimbursement of drugs in general, and this would fall into that. Some Asian markets as well, including specifically Japan, has a relatively lucrative drug payment plans. So, our focus is going to be in Europe, particularly Southern Europe and Japan and a few other Asian countries. Does that address your question, Max?
Unknown Analyst: That's perfect.
Operator: The next question comes from Doug Loe of Lead Financial.
Douglas W. Loe: Congratulations on a solid cash flow quarter again. So maybe just a housekeeping question. So, as you previously announced, your debt levels are down to $13 million in the quarter. Your debt-based financial ratios are well into safe territory. Just wondering, are you comfortable with current debt levels? Or do you expect to deploy any supplemental operating cash to bring debt levels down to even lower levels?
Ryan Mailling: Doug, I think, obviously, we need to balance our priorities and cash availability and deployment. But I think, yes, we're going to continue to look to repay our debt. There's no reason not to at this point.
Craig Mull: We don't have far to go really, I mean, I'm thinking that we're going to start accumulating cash for our next acquisition. And that's really the plan there. We will be debt-free very close to the end of the year. And then from there, we're going to be accumulating cash if we find the right deal.
Douglas W. Loe: Well, I infer from that answer then that no product and licensing opportunities that would require new cash would be imminent before debt repayment would be the priority. I assume that's what you're implying with your answer.
Craig Mull: Yes, we're waiting for the right deal to come. And in the meantime, we'll pay off our debt, and we'll stockpile our cash in anticipation.
Ryan Mailling: Just to add on, Doug, it's a revolving facility, so we have access to it if we need it.
Douglas W. Loe: Of course. Understood. And then yes, just a sort of a competitive landscape question. So, one of the key drivers that was originally identified when you acquired Natroba and ParaPRO was the emergence of resistant strains to permethrin. And we certainly see that dynamic percolating through the medical literature as well. I was just wondering, is that reality broadly known within the medical communities where the head lice is conventionally treated? Or do you think it would make sense to conduct a small study showing that Natroba is more effective than permethrin in resistant strains that -- or treating resistant strains to which permethrin is no longer effective. I'm not sure whether that would be a prudent deployment of R&D capital, but just wondering if you'd considered that and if that might be something on the horizon. And I'll leave it there.
Bryan Jacobs: Doug, it's Bryan. We do have a study that's been out there for a while, dates back to 2015 that just talks about the resistance profile across the U.S. It was conducted across literally north, south, east, west states. So covered, I believe, in the high 40s number of states where they collected lights and demonstrated the fact that their resistance and the resistance profile was 98%. And this was done many years ago. So, the one thing that you know about resistance over time, it only gets greater. So, we use that as part of our communications tool when we're reaching out to physicians. It's one of the tools that we have in the toolkit. There is no doubt that part of what we need to do is to get it more ingrained into the medical community. So, ensuring -- we're now getting the attention of a lot of physicians, a lot of KOLs that are attuned to this. And an example of that, as Craig said, we're working after different verticals because that's the way to really kind of go about it, tackle things at the school board level at the long-term care home consortium level. So, we have a KOL at the moment who's working through writing a new protocol associated with if there's an outbreak, this is the product to use, not only because permethrin, you have to do multiple doses over a period of time while people are infectious, but just the fact that it also may no longer work. The 2 dosing -- when permethrin 5% first came out, it was a 1 dose. And then it was broadly known as you need to do one dose and you need to be -- you need to wait 10 days and then dose again. What's not broadcasted right now is it's probably getting into third or fourth until if you pour the permethrin on anything, it will die, but that it's absorbing into your skin during that time. So, it's certainly the best product out there. So, ensuring we use the data that we have and attacking it at the right verticals as opposed to a door-to-door approach is -- as Craig was describing, that's going to be part of our strategy in 2026.
Operator: [Operator Instructions] Your next question comes from Tania Armstrong of Canaccord Genuity.
Tania Gonsalves: Just a couple from me. So, first on Natroba, I think, Craig, you mentioned earlier in your remarks that seasonality plays a role here and sales tend to be higher in warmer months. I would have thought that sales are also quite high in that like September time frame when kids return to school. Do you guys see that? And should we expect then a downtick in revenue into Q4?
Bryan Jacobs: It's Bryan Jacobs here. Nice to meet you. I don't know if we've talked before. Your last part of your question there, do we expect Q4 to be lower than Q3 and Q2? Generally, yes. And even though Q3 is, call it, the hottest, warmest season and you have back-to-school, as you indicated, what we did see this year was that both -- as opposed to having a huge spike in Q3, we feel Q2 and Q3 were more balanced because the stocking and getting ready for it at the wholesale and retail channels happened earlier.
Tania Gonsalves: That's good color. And with respect to -- this came up in an earlier question, but just getting on some of these bids that you've made to states outside of Illinois to get on their formularies and displace permethrin. Have there been any states that you have submitted a bid and not won that?
Bryan Jacobs: No, there haven't. At the present time, we have a number of states that have the bids that are contemplating it. It's typically what happens there is they give you -- the process works as you approach the renewal of the bid, you submit it and the states just work where they make the decision towards the very end, you kind of hear about it. So, we're hoping in the coming months as we look at some of them renew kind of right on the calendar year that we'll hear back on those. But no, we haven't had anyone turn down that as of late.
Tania Gonsalves: And then just lastly, and apologies if I missed this in your remarks, but the compensatory damages and reimbursement for legal fees as part of that Sun Pharma litigation, how should we think about that being accounted for in Q4? Will there just be a contingent consideration line item on your balance sheet? Or have they actually paid you the cash yet? Or are they withholding a portion as they appeal to the outcome?
Craig Mull: Tania, it's Craig Mull here. Most of that arbitration award now is public information, and you probably are aware that Sun has decided to try to vacate the order of the arbitrator, and that's going through New York courts at the moment. We don't know how that will go. I certainly like our position a lot better than theirs. But we haven't received any payment, and I don't think that we will be recording any until we hear what the New York courts say.
Ryan Mailling: Yes, I can tell you Tania, it's really dependent on timing of this outcome and what the outcome is. So, at this point, it's a contingent asset or gain, which you don't recognize until you have certainty on.
Tania Gonsalves: And how long do those appeals processes? I know it varies, but for something like this, how long would you anticipate this taking?
Craig Mull: I was told by our litigators that it's likely a few months.
Operator: There are no further questions at this time. I will now turn the call back over to Craig Mull. Please continue.
Craig Mull: I want to thank everybody for your time today, and I appreciate that you joined our call. We look forward to reporting positive news on the coming quarters as we progress with our plans. Again, thank you very much for your time, and we appreciate your support and interest.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.